Operator: Good day, and welcome to the Amtech Systems Third Quarter 2013 Financial Results. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Mr. Brad Anderson, Chief Financial Officer. Please go ahead, sir.
Bradley C. Anderson: Thank you, and good afternoon. Thank you for joining us for Amtech Systems third quarter results conference call. On the call today are J.S Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its final results for the third quarter of fiscal 2013 ending June 30. That earnings release will be posted on the company's website at amtechsystems.com. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date, and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance, and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technology used by our customers and competitors; change and volatility in the demand for our products; the effect of changing worldwide political and economic conditions, including government-funded solar initiatives; capital expenditures; production levels, including those in Europe and Asia; the effect of overall market conditions, including the equity in credit markets and market acceptance risks. Other risk factors are detailed in the company's Securities and Exchange Commission filings, including its Form 10-K and Forms 10-Q. J.S Whang, our Executive Chairman, will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer, will update you on current operations, and then I will discuss the third quarter financial results. So I'll now turn the call over to J.S Whang, our Executive Chairman, to begin the discussion.
Jong S. Whang: Thank you, Brad. Good afternoon, everyone. We really appreciate your ongoing interest in Amtech Systems and Solar as an investment opportunity. While the current uncertainty is expected to continue into 2014, we believe the longer-term growth opportunity with the Solar sector remains strong. The global solar market continues to expand and broaden its space and the industries drive to lower the cost of solar power is further intensifying in each value chain, including installation cost. A Deutsche Bank analyst report of last week stated that 75% of the global solar market will be available for the nongovernment subsidy model within the next 18 months from the currently subsidy-dependent business model. Recognizing this exciting business opportunity is the purpose for developing our solar strategic growth plan. This is the reason for our continued R&D investment and plan execution, which includes a stronger marketing effort. To this objective, last year, in 2012, Amtech formed an alliance with the ECN, the energy research system of The Netherlands, and RENA in Germany, the industry leader in texturing, etching and cleaning solution for solar cell manufacturing. The objective of the alliance is to more effectively offer and promote our n-PASHA technology and products and N-type bi-facial cell concept developed by ECN to the marketplace. In June, we were pleased to announce the booking of a 100-megawatt n-PASHA order, which represents the first phase of a 200-megawatt project to be executed by the alliance. This order represents significant validation of the value of our new n-PASHA technology in today's marketplace. Fokko will provide more details on the technology offering and the specific project for our second n-PASHA customer in San Antonio, Texas. When the industry fundamentals improve, we will look to our top-tier customers to again invest in next-generation of advance solar technology solutions. Our focus is on continuous innovation and preparing for the inevitable next buying cycle. I will now turn the call to Fokko Pentinga, our CEO. Fokko?
Fokko Pentinga: Thank you, J.S. Although we are very positive about our long-term opportunities, the current sales environment continues to be challenging. During our third quarter, we further streamlined our operations, including reductions in headcount and general and administrative expenses. Our cost control initiatives throughout the downturn have helped us to both preserve cash and continue to very selective investment important to advance our technologies and position us to meet the future needs of our customers. And I'd like to discuss our new project for Nexolon U.S.A. In June, Tempress Systems, our solar subsidiary, received a multi-million dollar order for the Tempress advanced diffusion and PECVD equipment, which will be used in Nexolon's U.S.A. facility located in San Antonio, Texas. The order is for 100 megawatt as the first phase of a planned 200-megawatt turnkey project to be executed by the n-PASHA alliance, which as J.S. detailed, was formed in 2012. The order valued in the low teens and is expected to ship in the first half of fiscal 2014. Nexolon is our second customer for this N-type technology. The N-type bi-facial cell concept developed by ECN yields high cell efficiencies in an increasingly competitive cost level. The n-PASHA cell used for bi-facial modules generates electricity from light coming through both the front and the rear of the panel positioned in the solar fields to generate about 10% to 20% more power at basically no additional cost. Additionally, the N-type modules do not suffer from the light-induced degradation compared to the typical power loss of several percentage points for the commonly used P-type modules. Going forward, we are confident that the N-type cell will be the choice of our customers. We are optimistic that our solar technology will be highly relevant to meet the global demand for renewable energy solutions. Our customers have a high level of interest in the products we have in development and the significant capabilities of our advanced technology solutions. However, at this point, we look to 2014 before we have more visibility regarding the timing of the investments in equipment upgrades and strategic capacity expansions in the industry. And now some words about EU dumping -- anti-dumping settlement. We believe that the settlement of the EU anti-dumping actions and the resulting floor on the per-watt pricing of shipments from China to Europe is not good for the industry as a whole and we expect it will increase the cost of PV installations in Europe. Overall, we believe this settlement will slow down the required cost reductions that has been so important for the large-scale adoption of solar. But on a more positive note, the agreement is far better than the large import duties that was originally planned. And now that there is an agreement, the industry can focus and move forward. This is very important to our customers. This agreement may actually provide a better chance for the solar producers to improve margins for those companies that can supply to Europe and at the same time help to consolidate the industry and reduce the large overcapacity. With a minimum price, the efficiency and quality of panels delivered to Europe could become the differentiating factor, providing, of course, there is sufficient supply. Also, the Chinese State Council has a strong focus on promoting healthy developments of the PV industry, including the strong emphasis on innovation and calibrations that lead to high efficiency cells and panels. This objective is in line with Amtech's strategy to continued investment in R&D for the next-generation cell technology and production equipment. It will still take time for the industry to adjust to these new rules and agreements, and we expect that we will start to see the effects of these in 2014. And while the market is also soft for our Semiconductor business, we believe the cycle is shorter than Solar and expect to see some improvement in the first half of fiscal 2014 as we see increased activity from our key customers. Brad will now discuss the quarter's result. Brad?
Bradley C. Anderson: Thank you, Fokko. Let's review our third quarter results. Net revenue for the third quarter of fiscal 2013 was $10.4 million compared to $8.1 million in the preceding quarter and $24.3 million in the third quarter of fiscal 2012. The sequential increase reflects a large shipment to a single customer during the June quarter, partially offset by lower recognition of previously deferred revenue. Total customer orders in the third quarter of fiscal 2013 were $20.7 million, including $15 million from Solar, up from total orders of $9.6 million in the preceding quarter. At June 30, 2013, our total order backlog was $24.8 million compared to $14.2 million at March 31. Total backlog at June 30 includes $19.3 million in Solar orders and deferred revenue, compared to a Solar backlog of $10.7 million at March 31. Foreign exchange caused a $200,000 increase in backlog in the June 2013 quarter due to the strengthening of the euro versus the U.S. dollar. As a reminder, backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Gross margin in the third quarter of fiscal 2013 was negative 26%, reflecting $4.4 million of inventory write-downs compared to 30% gross margin sequentially and 20% in the third quarter of fiscal 2012. The inventory write-downs were a result of our review of expected future usage of inventory compared to what we have in stock. These write-downs do not necessarily indicate a technological obsolescence. If future bookings for solar diffusion equipment improved significantly, we should be able to utilize this inventory. Selling, general and administrative expenses in the third quarter of fiscal 2013 were $5.5 million compared to $4 million in the preceding quarter, the increase due primarily to higher stock compensation expense related to the acceleration of vesting and cancellation of certain stock options during the June quarter. For the next several quarters, we expect our quarterly stock compensation expense to be in the range of about $160,000, excluding the expense of any future grants. Despite the higher stock compensation expense in the quarter, SG&A expenses actually decreased almost $1 million compared to the prior year quarter, primarily due to lower commissions and shipping costs related to lower revenues, as well as company-wide cost control initiatives to reduce salaries, professional fees, travel and insurance expense. Our research and development or R&D expense was $1.9 million in the third quarter of fiscal 2013, essentially unchanged from the preceding quarter. R&D expense decreased $1.7 million from $3.7 million in the third quarter fiscal 2012 due primarily to decrease in Solar development-related activities. Included in the third quarter of fiscal 2013 results is $1.6 million of stock option expense, compared to $327,000 of fiscal quarter -- second fiscal quarter and $438,000 in the third quarter of fiscal 2012. The increase in stock option expense that I previously mentioned was the acceleration of vesting and cancellation of options during the quarter. Turning to our income taxes for the quarter. In the third quarter of fiscal 2013, there was a provision of $2.6 million. Normally, you would expect to see a tax benefit in the quarter due to the losses. However, we established a valuation allowance of $4.7 million on all deferred tax assets related to The Netherlands, comprised primarily of net operating losses. The valuation allowance was recorded due to cumulative losses in The Netherlands related to our Tempress subsidiary. These net operating losses can be carryforward and to the extent Tempress generates future taxable income, we expect to utilize those NOLs. The net loss for the third quarter of fiscal 2013 was $12.1 million or $1.27 per share compared to a net loss of $2.1 million or $0.22 per share for the second quarter of fiscal 2013. Total unrestricted cash and cash equivalents were $38.8 million at June 30, 2013, essentially unchanged from the previous quarter ending March 31. This reflects solid collections of receivables, utilization of existing inventory and cost control measures. This concludes the prepared remarks section of our conference call. Operator, please open the call to questions.
Operator: [Operator Instructions] The first question will come from Jeff Osborne of Stifel.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Just a couple of questions on my end, Brad. A lot of moving pieces here on expenses and taxes. How do we think about the tax payments for the third and the fourth quarter, assuming a slow ramp here in Solar and then a pickup as you start delivering the Nexolon contract in an upcoming fiscal year?
Bradley C. Anderson: From a tax payment standpoint, we've had a payable on our books for a while that needed -- that was to pay the 2011 taxes related to the Tempress income that they've generated. And that was paid here in this quarter. And then we are filing a 2012 refund to -- or 2012 return to get a refund of those taxes that will probably come in the December quarter.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: You should have a tax benefit then in the September quarter?
Bradley C. Anderson: Yes, not necessarily. The benefit has already been reflected in the net payable or receivable on the books.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Got you. And then a couple of onetime items with the adjustment to the stock comp plan. How do we think about SG&A going forward over the next 6 months? You alluded in the release with some potential still adjustments at Tempress. What should the run rate be for SG&A and R&D looking ahead?
Bradley C. Anderson: Yes, from an SG&A standpoint, as I mentioned, normally, we've been running at about $400,000 a quarter for stock comp expense. It was $1.6 million this quarter. So there's about $1.2 million of additional expense that -- above the normal run rate. And as I mentioned in my remarks here, on a go-forward basis, that's now instead of being at that $400,000, it's down $160,000. So there's some decrease there. And I think if you back out that and we had some severance costs that I think are separated on the P&L, couple of $100,000, you take those out and that should get you to a closer run rate on the G&A.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Is that kind of a high 3s to $4.4 million or so, is that being reasonable?
Bradley C. Anderson: I'd have to go back and look at the trends, but I think what we've given is trying to point out some of these -- I won't necessarily call them onetime, but these noncash charges, larger charges, so people can be able to look at their models and adjust accordingly.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Any -- maybe switching gears to Fokko. Any increase in the pace of dialogue about potential changes in technology? I recognize there's a lot of issues with the macro market. But are more people looking at ion implant, for example? I don't think you've mentioned that on this call, but maybe just an update there.
Fokko Pentinga: Well the new technology is not something what people were looking at over the last year. Now all of a sudden, we do see that for anything that's new, so that any new project, not stemmed before June 7, will have to comply with the guidelines of the State Council, meaning, they have to have 18% on multi and more than 20% on mono. So, of course, these are not projects that start tomorrow. But yes, we do see a definite change and need in China, purely because of that. So that has a direct effect for the needs. And we look at ion implant -- like I mentioned about the n-PASHA, the N-type not having the LID and still being a relatively straightforward process, the ion implant cost-effectiveness and the advantage of it is, I think, more in the N-type, so the next generation that we are working on between Kingstone and Tempress and, of course, some of our partners. And -- but that is a little bit further out some time into '14 that there's a proven technology for N-type above 20%. But that's around the corner.
Jeffrey D. Osborne - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Two other quick ones here. Can you just talk about the general availability of the N-type wafers. That's kind of question number one. And then question number two, Fokko, you mentioned that you expected some softness here in the Semiconductor sector I believe in the upcoming quarters, which you're alluding to, were potentially reflecting in the past quarter. I wasn't sure, but you mentioned that you expect an early fiscal '14 rebound in that for you folks. And could you just maybe point me in the end market that you expect to improve that would drive that strength for Amtech?
Fokko Pentinga: So first, about the N-type and availability, and of course, there was some availability of wafers and the last period hasn't been all that much of a problem and there is large production capacity expansions planned in Malaysia by Comtec. So -- and also, the cost of N-type now becomes very close to P. So we do not see a shortage there. The move to N-type, of course, will be quite influenced also by the State Council requirement of having to be over 20%. And once you're there, you want to move up a little bit further because P is sort of stuck at the 20% level. So, yes, we see quite a bit of improvement there. And about Semi, the one I was referring to, that Semi's been slow so far. And it's all -- we have a limited number of customers that are mostly on the automotive power side. And we do see that the demand relatively -- well in a short period, changed and we see quite a bit of activity there. So we see an improvement for Semi starting in the first half of 2014.
Operator: [Operator Instructions] I'm showing no additional questions in the queue. This will conclude our question-and-answer session. I would like to turn the conference back over to Brad Anderson for his closing remarks.
Bradley C. Anderson: Thank you for your time today and for your interest in Amtech. I will be available for any additional questions you may have and welcome your follow-up calls. This concludes today's call. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.